Operator: Good day and thank you for standing by. Welcome to the Second Quarter 2021 Earnings Report Conference Call. At this time all participants are in a listen-only mode. After the speaker’s presentation, there will be a question-and-answer session . I would now like to hand the conference over to your speakers today Mr. Ken Goff, Senior Vice President, Investor Relations. Sir, you may begin.
Ken Goff: Thank you, operator. Good afternoon, everyone and welcome to 2U's Second Quarter 2021 Earnings Conference Call. I'm Ken Goff, Senior Vice President of Investor Relations at 2U, and I'm joined by Chip Paucek, our Co-Founder and CEO; and Paul Lalljie, our CFO. Following Chip and Paul's prepared remarks, we will take questions.
Chip Paucek: Thanks Ken. 2U has always had a bold vision for the future. I want to start today's call with some reflections on where that vision started, where we've been and what the whole -- the future holds, given our edX news. We started this company in 2008 to create the world's best online education and we've been defined the odds ever since. Back then high-quality online education wasn't a thing. People said online education was bad. It couldn't be great. It couldn't create the same outcomes, the same relationships, the same quality. Nearly a decade and half later, our 550-plus programs have become industry-leading examples of online education done right at scale, driving life-changing outcomes for people. With non-profit universities at the core of what we do, we're proving that higher education can be blended, connected, accessible, affordable and sustainable. From the beginning we've invested in building our partners' brands and we've generated over $5 billion in tuition bookings for their institutions, as we've helped transform the lives of over 350,000 students, all while delivering great outcomes and increasing retention and graduation rates.
Paul Lalljie: Thanks, Chip, and good afternoon everyone. We had another outstanding quarter. Revenue grew 30% over the second quarter of 2020 to $237.2 million. We saw strong revenue growth across products with the degree segment up 26% and an alternative credential of 36% on a year-over-year basis. Expense for the quarter totaled $274.3 million, an increase of 18% over the second quarter of 2020, resulting in a net loss of $21.8 million, a $44.3 million improvement. Adjusted EBITDA for the quarter, totaled $17.1 million, a margin of 7% and unlevered free cash flow on a trailing 12-month basis, totaled $2.5 million. In a nutshell, we reported strong revenue growth, solid EBITDA margin and positive unlevered free cash flow on a trailing 12-month basis for the second consecutive quarter, a very strong first half of the year and continued evidence of the durability and sustainability of our business model and revenues, as well as our growing earnings power. Now let's take a closer look at revenue for the quarter. Full course equivalent or FCEs totaled 84,000, an increase of 26% on a year-over-year basis with the revenue per FCE up 3%. Revenue in the degree segment grew 26%, compared to the same period last year. This represents the sixth straight quarter of accelerating revenue growth. FCEs for the quarter increased 31%, while revenue per FCE decreased 3%. This decrease in revenue per FCE was due to the continued strength in our recently launched undergrad offerings, higher volume and lower cost per credit. But it wasn't just undergrad that showed strong performance this quarter, we saw strength in a number of enrollments and increased student retention rates across verticals, cohorts and products. Student demand for high-quality online degrees remain high with the pandemic accelerating the digital adoption curve, which we believe will have a lasting impact. In addition, university demand remains elevated as evidenced by our recent wins, including our recently announced MBA with the University of Miami and the strength we see in the pipeline. To put a degree trajectory into perspective, for the first half of the year this segment grew 25%, an 11-point acceleration compared to the first half of 2020. Revenue in the alternative credential segment grew 36% on a year-over-year basis, driven by a 16% increase in FCEs and 17% increase in revenue per FCE. Growth in this segment was driven by a 53% increase in boot camp revenue and 16% increase in short course revenue. Across all of our businesses and in particular the Alternative Credential segment, we are seeing an increase in digital marketing costs, which is something many companies are dealing with as the economy reopens and advertisers reenter the market. It's important to note that we expect to stay with our framework of driving profitable growth and not chase revenue at the expense of EBITDA. Turning to cost and expenses. Total operating expense for the quarter totaled $274.3 million, an increase of 18% over last year. This marks the fourth consecutive quarter where revenue growth was at least 10 percentage points higher than expense growth. Compared to the second quarter of last year, marketing and sales expense increased 17% against revenue growth of 30% as we continue to drive efficiencies and benefit from scale. If we look back over the past eight quarters marketing and sales expense as a percent of revenue has declined more than 12 points. And as we have discussed there are many more opportunities to drive further improvement, especially with the acquisition of edX. Net loss for the quarter totaled $21.8 million, a $44.3 million improvement compared to the year ago quarter. While much of this improvement came from revenue growth and margin expansion, we also benefited from a $27.9 million non-operating gain on the sale of a 2019 investment in Keypath Education. Adjusted EBITDA for the quarter totaled $17.1 million, a $19.2 million improvement from last year and a margin of 7%. We expect to continue to deliver EBITDA as we manage through the reopening dynamics of the economy. As I mentioned earlier, we will continue to be disciplined in how we allocate and manage profitable growth across the portfolio. Moving on to segment margin. Margins in the Alternative Credential segment improved two points sequentially. Margins in the Degree segment came in at 19% for the quarter, driven by increased enrollments, better retention rates and cost efficiency initiatives. I mentioned earlier that the degree revenue growth in the first half of 2021 was 11 points higher than the first half of 2020. Well, that revenue acceleration was coupled with a 14-point margin improvement. Headcount at the end of the quarter totaled 3,720 compared to 3,677 from the year ago quarter. Turning to the balance sheet. At the end of the June quarter, cash and cash equivalents totaled $971.3 million, up from $505.1 million at the end of the March quarter. This increase was primarily due to $475 million loan that we closed in connection with signing the purchase agreement for the edX acquisition. Operating cash flow for the quarter was a use of $9.8 million, which was significantly impacted by timing-related increases in net working capital. Cash provided by investing activities was $19.9 million driven by the proceeds from the sale of our investment in Keypath, partially offset by $17.3 million in capital expenditures. Accounts receivable at the end of the quarter totaled $101.4 million, up $26.7 million from the end of the previous quarter. This increase was primarily driven by the timing of our clients' academic calendar, as well as the typical increase in accounts receivable from revenue growth. Unlevered free cash flow on a trailing 12-month basis totaled $2.5 million. This is particularly impressive, given the net working capital headwinds I just discussed. The increase in accounts receivable alone was a drag of $30.5 million in free cash flows for the trailing 12 months. Now, for a discussion of guidance. We are acutely aware of the uncertainties that companies are facing with the spike in COVID cases due to the Delta variant. In the face of similar uncertainty last year, we withdrew our guidance. However, this year, we believe we can maintain our guidance at prudent levels. We have good momentum in our degree business. And as I've said in prior quarters, it is a business that takes time to build up momentum. But when it gets going, it goes for a while. Based on new partnerships and other leading indicators, we believe that the momentum we're seeing in the degree business is sustainable. At the same time, we see businesses across a range of industries try to get a handle on the Delta variant and what it might mean for the path and pace of reopening of economies around the world and for consumer behavior. After carefully considering the operating environment and other factors, we are reaffirming our guidance for 2021, originally provided on our first quarter earnings call and affirmed on June 30. We expect revenue to range from $925 million to $955 million, growth of 21% at the midpoint. Adjusted EBITDA is expected to range from $55 million to $65 million, a margin of 6% at the midpoint of adjusted EBITDA and revenue. Given the efficiency improvements we've been able to drive in new launches, we expect capital expenditures to be approximately $75 million, which is slightly lower than our initial projections coming into the year. Weighted average shares outstanding, is expected to be approximately 75 million shares. To conclude, we reported another strong quarter, adding more proof points for the durability and sustainability of our business model. You may see some variability in our revenue growth rate from quarter-to-quarter, due to things like the Delta variant and advertising costs, but that variability will be around a fundamentally strong trend line over the long term. Moreover, we are delivering efficiency improvements and new launch costs and overall expense growth well below revenue growth, all of which is translating into improved margins, profitability and cash flow. And as we work towards the closing of the edX transaction, we believe that edX will enhance our long-term strategic position in the ad tech space. And with that, we'll open the call for questions. Operator?
Operator:  And your first question comes from the line of Stephen Sheldon with William Blair.
Stephen Sheldon: Hey thanks. Chip, you made the comment that it's looking like 2017 in terms of, I think, program launches. So can you maybe frame that a little bit more and help us understand the potential impact that new program launches could have to growth at a high level as we think about the next few quarters and into 2022?
Paul Lalljie: Hey, Chip I think you're in mute.
Chip Paucek: Thank you Paul. Sorry. So Sheldon thank you for the question. So you might have seen a couple of days ago we announced, the University of Miami MBA and that's an example of a program that we think is a sizable program and looks more like what in the old days we would have called it DGP is. And what's great about it is that we'll launch in January, which is an outstanding way to start 2022 for us. And the pipeline demand right now is very strong. And so we've definitely seen universities focusing on how to do something longer term that is less of a pandemic response and more -- there was an article in the Chronical Higher Education just yesterday about the fact that the schools that are doing well in the pandemic are schools that build digital activity over the last decade and they're reaping the benefit of that. And the reality is if schools haven't built a digital presence they have to transform. And it's expensive. It's hard. It's complicated. Many times on your own. It doesn't work without great partners like 2U. And we're very proud that today we still, I think underappreciated across our stakeholders is that we've never lost a degree program, not one degree partner. So a university partner that offers agrees with 2U, we're still with everybody since 2008. So we're excited about what the pipeline means for the degree program business next year and look forward to continuing to delivering for people as they figure out how to transform themselves. Now I would also tell you that from an efficiency standpoint, we are getting better at doing this. And we're figuring out how to do these in a more efficient manner with a lower cash footprint and that's pretty important to our long-term objectives.
Stephen Sheldon: Got it. And when you think about the program launched, I know on the efficiency side, you're usually spending some I think months in advance trying to get marketing interest when a deal is after a program is announced. I guess as you think about the second half of this year, if you've got all these programs that we're going to be launching next year, are you kind of including some spend related to getting those programs up and running? I guess, how should we think about the spending to get some of these program launches? And I guess I'm asking is that spend, kind of, hitting in the second half of this year where the revenue generation will be more 2022?
Chip Paucek: As you know the degree business the way the model works is that we do spend to drive -- we invest in a program and we see it steady state over let's say a three to five-year period depending on the program. Now if you look at our undergrad programs, it's pretty amazing to see what's happening with the undergrad business. And we do expect to announce more undergrad programs over the course of the next six months. And some of those will be in the pipeline for next year as well. So we're pretty excited about what that means. You do have to invest to get the degree business rolling. And a couple of years ago we did slow down the pace. I think people probably don't appreciate at our size today that the pace has really picked up. We're launching offerings from -- degree offerings across both undergrad and grad that look more like years past. Paul, do you want to add anything? 
Paul Lalljie: No. I mean, I think you touched on it. The bottom-line is, we're going to balance top line growth with EBITDA margins. And while we are spending ahead of launches in the back half of this year et cetera, the numbers that we have out there includes that type of spend and we're going to be prudent. We're going to balance. Profitable growth is the name of the game for us. And when you combine that with the strong positioning we have. And then, our combination with edX, we believe that we have a sustainable business that can endure the test of time.
Stephen Sheldon: Got it. Thank you.
Operator: Your next question comes from the line of Ryan MacDonald with Needham.
Ryan MacDonald: Hi. Thanks for taking my question. Chip, would be curious to understand the sense of trajectory and enrollments heading into the fall semester. I think we've seen when we look at grad applications really healthy growth in those applications across some of those major degree verticals thus far in 2021 and starting to see some international student enrollment recovery in undergrad. Can you just talk generally about, how you're feeling about the conversion of those applications into enrollments in the 2U programs?
Chip Paucek: Yeah. I mean, we feel like, we've got as we mentioned on the degree side very strong trajectory. And on the old credit side in total we passed now 350,000 students. We're doing this at a scale that I don't think anybody else really is in edX. So, the conversions that we've seen on the degree side continue to run at a strong pace. And what's been fascinating Ryan is just to see how many of our partners that have been with the company for a longtime really get the benefit of the experience and the quality. Their brands have improved in the online environment over the last decade. And you see many programs with outstanding enrollment levels that look at record conversions. So our degree conversions are still running higher than pre-COVID levels. Demand is real strong. And we've got a whole bevy of new short courses and boot camps on the way. And some of the short course topics are just really incredible. So we did see -- if you go back four years to our acquisition to get smarter, I think that was seeing around the corner here that universities are going to need to evolve beyond the degree. And you have to be able to meet the learner, where the learner needs to be met to succeed. And we think the great non-profit university can be at the center of all that activity. And then, when you start to layer in what's going to happen when we close the transaction with edX, it's pretty incredible. I mean, I spent more time on that on this call and than -- we haven't had an opportunity to talk about it that much to this community. And we've been quite busy with the more important stakeholders in terms of the partners and -- it's been pretty incredible. The response has been incredible so far. And I do think there's a reason to believe it will change the industry. And it certainly will have a substantial impact on us, because we do become a platform in a marketplace. And we do it overnight with an incredible team that comes together from edX and an incredible founder. And I would tell you that, I do really love, what it means for opening doors to more people to create access to all of our programs, whether it be technical training from a great university in a boot camp or learning about diversity or women's leadership in a short course or getting your doctor of physical therapy in a degree program.
Ryan MacDonald: Yes it's -- I guess that's a great sort of move to my follow-up which is around edX. Obviously, clearly a lot of excitement as you're thinking sort of moving towards the close of that transaction. I guess, given the conversations you've had with the existing university partners from edX, can you talk about a few of the areas where you're most excited about or you sort of view as low-hanging fruit in terms of investment to scale components of that business? Thanks.
Chip Paucek: Well, I mean we're going to build very large numbers of new free and low-cost options that grow the marketplace. We've committed to the mission of the organization and that was actually reasonably easy for 2U to do because there is just such deep mission alignment. And we're excited about the opportunity to be the complete free-to-degree solution, you could say free to PhD. We will offer more free courses. We will offer great opportunities for people to have access to all of our -- both programs and competencies that we built. And think about the partner base Ryan. We go from 84 to 226. We have 78% of the top 50 universities in the world, 78%. It's hard to get to 80% vaccination. It's hard to get to 80% of anything. So you're talking about 3500-plus offerings, 225-plus partners, 1,200 enterprise clients. And I think we very quietly built out the enterprise channel. That's something we've been doing for the last 1.5 years and it's the fastest-growing part of 2U right now. And then you've got 50 million learners engaged in some form of activity with us. I do think the -- if you think about our brand, edX is a worldwide global learning brand. And you can argue that that is the one thing that is sort of a perfectly fitting puzzle piece to this solution for 2U. So I mean, we are extraordinarily excited about what -- once we close this, what this can mean for greater adoption of high-quality learning, improving our technology and bringing a marketplace component to a business that is the market leader today.
Operator: And your next question comes from the line of Brent Thill with Jefferies. 
Brent Thill: Thanks. Chip just on edX. What's the Kind of the most surprising thing for you? I know you highlighted a lot of the core capabilities in strategy. But is there one or two things that really kind of struck you that maybe we can all see that you think over time can really help transform?
Chip Paucek: Yes. I'm not sure, if you cut-off, you can still hear me ken. So I would say the Brent, edX has just been. It's been incredible. Every day we learn something new that is just a huge opportunity. The combination of these two entities is -- it is sort of joking like Jerry Maguire, you had me at below. It's just incredible when you bring the two of us together, what it does. And so just one example. When we were so intensely dealing with the process that, at one point edX for campus had 500 university partners. And by the time we got done, we learned it had 935 universities that we're offering edX for campus worldwide powering their campus programs using the edX content. The enterprise opportunity is very significant when you combine the number of programs we have that are built for the enterprise and you combine that with the huge library that edX has the partner synergy. And I would say we prepared for all different types of outcomes in terms of how the world would respond. Obviously, it was a shocking transaction to people because for most folks they were very, very surprised just by the nature of what edX was and where it came from and who we are. And I would tell you the response has been incredible. So that surprised me Brent. We prepared for -- we've had -- this is our third acquisition. And I would say in some ways the response to this has been the best of the three from a partner standpoint. So there's just a great opportunity for us to do right by the full partner community, the edX partners and the 2U partners and the combined partners. There are quite a few that we share. And then one final thing would be edX has relationships with great companies some of the world's best companies to offer their content. And that's going very well and there's a lot of demand for those courses on the edX marketplace. And so whether it be IBM, Google, AWS great content from some of the world's leading companies. And you might have seen that we recently launched our first short course with the economist. And so we also love that option and we think we'll grow the entire suite. It's -- there's a lot there. One maybe final point would be the worldwide opportunity. So 2U -- when people think of 2U because of our long history, they think of really high-quality long-form masters programs. And we do that and we do it well. And I think we do it better than anybody. But over the years we really have diversified the company. So more than half of our learners come from outside the United States today. And so just the opportunity in India alone, edX has as much traffic and as many learners from India as they do from the United States and that is purely untapped for the 2U side. So we are quite excited about what that means. 
Brent Thill: Great. Thanks for the detail. Paul just really quickly I know you covered the free cash flow, but it has been improving for five quarters in a row and you took a little bit of a pit stop this quarter. It just sounds like there's some short-term mechanics there and working capital that should alleviate itself over time. Can you just make sure -- I just had a question a couple of line questions around that if you could address that.? Thank you.
Paul Lalljie: Yes. I mean very directly it's the $3.5 million drag from accounts receivable. And that is simply the timing of the academic calendar based on the -- our partners. So it's a matter of when we collect. I think the key point in all of that 90-plus percent of our AR is current which means by the time we get to the next quarter we'll have that windfall in net working capital if you will. So it's not something that is systemic. It is more something of just a matter of timing from a collections perspective.
Brent Thill: Great. Thank you.
Operator: Your next question comes from the line of Fred Havemeyer with Macquarie. Fred, your line is open. Please go ahead with your question.
Chip Paucek: Maybe move to the next one operator. 
Fred Havemeyer: Apologies. I was muted there. Can you guys hear me?
Chip Paucek: Yes we can. 
Fred Havemeyer: Sorry about that. It's still having got the hang of working remotely sometimes here. So, thank you guys very much. This is a unique time in the education landscape here though we appreciate that it's certainly an uncertain time as well in some respects. But with that, I'd like to ask, what do you see drawing learners to your alternative credentials offering in this environment? And do you see any signs of workers, who are considering switching to new roles in new industries as part of the wave of great resignations that they anticipate to be occurring considering some of your online learning offerings and boot courses?
Chip Paucek: Well, I mean, rescaling and upskilling is a huge need for everyone in the world. You're going to have to fully retrain yourself every five years and technology training in particular has been a critical need and improving diversity in everyone's tech organizations has been a critical need. And I feel like, we've got this incredible solution for people with our technical boot camps. And if you look 30,000 job referrals we're doing this at a scale that certainly no one else in EdTech is. I would say, the career engagement network that we recently rolled out across our portfolio and the edX partners and the edX learners are pretty excited about that giving people access to the world's best employers and it does become a bit of a flywheel because the more students you have the more employers want to work with you and the more -- as a single university you really can't do this. Great employers aren't going to line up at a single university the way they will for a company like 2U that can aggregate a very large number of high-quality learners in one spot. So ultimately all of this gets turbocharged with edX. Scale matters and we think it will allow us to bend back the cost curve in a variety of ways. And the alternative credentials are a big part of the story in terms of the worldwide learning base. So there's a bunch of incredible courses coming up. We have incredible course from about the impact of COVID that's about to the debut. And the London School of Economics just rolled out shorter courses that are only three weeks or sort of a new specialty for the London School of Economics. And you might have heard in there Fred that we did make an announcement that we had a press release yet, that we've now signed IE, which for those investors on the call that are in Europe, they will be immediately familiar with IE. One of the best schools in Europe, the top school in Spain, and just continuing to march down the path of some of the world's best universities outside of the United States. Over the last six months, we've announced a bunch and really important to provide opportunities for people to improve their careers and both our short courses and our boot camps can do just that.
Fed Havemeyer: Okay. Thanks for that. And then around really the digital marketing strategy that you guys have been employing here Chip you touched on the landscape of -- the dynamics in digital marketing that you're noticing. We've also noticed that your digital marketing spend per enrollee has been notably better on a unit basis than in prior years. So I'd like to ask around that. What is it? Could you just walk us back to what it is that you've done to achieve those improvements? And then with the introduction of edX, where do you think that can potentially go?
Paul Lalljie: So a couple of things here. Let me start off and then probably Chip can add to this. Look, I think 2U has a world-class marketing apparatus. And marketing apparatus is something that has the ability to evaluate audiences in just online offline data. Our data scientist teams come together and run models and algorithms to decide where it's appropriate to spend money, across what channels, number of programs, marketing programs et cetera. They have done a good job of developing these models and those things generate scale with the passage of time. It's like fine wine. It gets better with time. And we are seeing some of the benefits of those marketing work that our marketing department has been putting forward here for us. At the same time, we do have a broader set of offerings. I was -- as we were preparing for this call. If we look across our portfolio two years ago, we had 109 short courses. Now we have over 199. If we look back at our boot camp business, we used to have 104 programs in end of 2019. We now have 184. And in our degree business, instead of having 177 offerings, we have 185. We are operating at scale and the business is scaling with us very efficiently. And what you're seeing here is a matter of an efficient marketing department, spending prudently and at the same time a business that has matured from an infrastructure perspective to generate that scale. Chip, I don't know if you would address edX 
Chip Paucek: I think you did a great job. Next question operator?
Operator: Your next question comes from the line of Josh Baer with Morgan Stanley.
Josh Baer: Great. Thanks for the question, and congrats on the quarter in the edX acquisition. I wanted to start there because it's very interesting. Wondering how you're planning on going to market with edX meaning does 2U motion exist and edX motion exists and it's kind of partner-led meaning more flexibility more choice for current and future partners?
Chip Paucek: Josh, edX becomes our full consumer experience. 2U is obviously our corporate entity, but you can expect us to continue to grow the edX brand put edX front and center in a whole variety of ways. The partner response on both sides has been outstanding. And so if you look at University of Miami is actually an interesting example of a Trilogy partner that is now on the degree side. In other words, a partner that came to us as part of our boot camp acquisition. And that's very common. If you look at across the business, the London School of Economics came to us as a GetSmarter partner, a short course partner and now we run every undergrad program they have online. So we do love the opportunity to work more broadly with each of the partners in the edX framework. From a consumer standpoint, it's hard to overstate the opportunity set in front of us. edX has a very large learner base and huge amounts of traffic. We are excellent at marketing. We are excellent at SEO. We are excellent in content marketing. We bring resources they have not had as a non-profit. They have a very large number of product offerings that we are excited about. We think both micro Bachelor's and micro Master's will grow substantially with 2U behind them. They create credit pathways for people to get greater affordability and admission into various Master's and Bachelor's programs. So those credit pathways we think are very attractive. We will grow the free core space and 2U has a tremendous amount of content already paid for that exists today unlike every other massive open online course that will be built where you're going to the university and the university has to build that course themselves. 2U has a huge repository of content that can all be repurposed into various free versions and then build the certificates of those and build pathways from those to the degree programs. We think this allows us to create more affordability pathways for people. We do think it will let us then back the cost curve. You heard me mention edX for campus and edX for enterprise those are both opportunities that we will grow. And then finally open edX is used by over 100 million people worldwide. And we do think the open source community becomes a lever in terms of building greater improvements in pedagogy improvements in learning. We're very excited to work with and his team to drive that across our business. But it's important to note that 2U really -- nobody knows the name 2U. It's not a consumer brand. And we're not trying to make 2U a consumer brand, but the world is very familiar with edX. It is a huge global consumer brand for education and we intend to make it substantially bigger over the next 10 years. So we are trying to focus people a little bit on the longer-term opportunity not that the current quarter. I'm thrilled with the current quarter, yes, that's great. But it isn't about the next five months about the next five to 10 years. And if you think about what we've layered on to the existing 2U business personally, I don't think there's anything we could do to expand and accelerate the opportunity and impact like adding edX to the fold. So the edX brand itself will become the expression for 2U to the world in every way maybe with the exception of this way. In other words, this community knows the 2U name very well products and presidents of universities know the 2U you name very well but learners do not. And many do know edX. So we're excited about what that brings to the table from an organic traffic standpoint and just opportunities to teach more people. 
Josh Baer : Great. Very clear. And just one clarification. The commentary around the organic revenue growth plus EBITDA margin looking better. That was for FY 2022 compared to FY 2021 or 2021 compared to last year? 
Paul Lalljie : Yes. It was 2022 compared to 2021. And you know what if you look at I think part of my commentary that spoke to you're going to see fluctuations, but it's generally around the trend line that is heading in the right direction. I think that applies here too. If you do the trailing 12 months that rule of 40 is almost 37. If you look at it in the current year guidance it's 21 plus 6 that's 27. So pick a number in between there. I think that's the ballpark that we're seeing that we will continue to focus on how we can improve on that annual basis, right? That's -- it's the annual measure that we're trying to zero in on and we're trying to look at this from a long-term perspective of how to build a sustainable and durable business. And you know what strong financial results is one aspect of that positioning is another aspect of that. And then the combination of edX makes us that platform company with a marketplace that is unmatched. 
Chip Paucek : And as we come together with edX, it should improve the ability to convert across all of our product lines. So, very exciting in terms of the combination in terms of what it will do for the Rule 40.
Operator: And your last question comes from the line of Brett Knoblauch with Berenberg Capital.
Brett Knoblauch: Hi, guys. Thanks for taking my question. Maybe just first on the AC segment. You guys are approaching a quarterly revenues of $100 million, haven't seen the same type of scale benefits as we've seen in the Degree segment there. At what point would you expect to start to see some segment margin improvements in the AC segment?
Paul Lalljie: So Brett, there are a couple of things here. I think one of the things that we've been discussing very actively on every single one of these calls we manage the business on a portfolio basis. So to some extent, we're not going to let segment margins to some extent drive the way we allocate capital. We're going to allocate capital where it is most efficient. And what you're seeing right now is the scale and the leverage of the degree business coming through loud and clear. The Al Cred business, we believe over time will demonstrate similar type of scale and margin power. But at the same time, we are doing things. We're building out offerings as we go through this. I mean I use the example of the short course business having 109 courses less than 18 months ago. And today they have 199. Same thing in the boot camp side. We are investing in both of those businesses short course and boot camp in the Al Cred side, so that we can continue to build revenue in a sustainable way. So, we don't just want to benefit from favorable digital marketing trends. We want to benefit from learners wanting a particular type of course. We want to make sure we have those courses. And at the same time use the digital marketing spend as the variable side of the equation. But the bottom line is, we are spending as a portfolio and we're going to spend wherever we get most efficient growth. And you're going to see margins fluctuate either sometimes on the degree side or sometimes in the Al Cred side. It is not something that we manage to.
Brett Knoblauch: Understood. Thank you.
Chip Paucek: Obviously -- the only other thing I would add Brett is, obviously the marketing is very significant expense on the Al Cred credit side. And we do think that edX will have a big impact there. It's obvious but important to note.
Brett Knoblauch: Yes, comment on that as well. And then, maybe on the Degree side. As you guys said, fixed straight quarter of sequential growth accelerating, can you just I guess put together your comments on your guidance with Degree segment and continuing momentum, as right now it implies kind of like second half of this year revenues are going to be pretty much flat compared to the first half, which looking back at your guys' history has really never been the case. So, is this just really you guys being extremely conservative given kind of the Delta variant coming about? Just anything in that that maybe we should know about from a tough comp perspective?
Paul Lalljie: So, a couple of things. I'm going to touch on three different areas here. The first one is last year when we were in a similar situation we pulled guidance because it was just unknown to us. What we have right now is the Delta variant where you have an economy that was beginning to open, and then you had the Delta variant on top of it, we're not sure how that's going to play out. So number one, we need to make sure that we are prudent, if we're going to have guidance out there. We kept the guidance and we displayed prudence by keeping the range where it's at. That's number one. Number two, the key for us is to examine each of our businesses from a very fundamental perspective. The revenues that we're generating that gave us 30% year-over-year growth in the current quarter the second quarter. Is that a sustainable thing? What are the things that drove that? And when we look back at the things that drove that, the number of partners, the number of courses, the students that are enrolled those are sustainable things that we have. When someone enters the Degree segment, they stick around for about 2.5 years on average and generates revenue for that period of time. The third point I'm going to make is if you look back at the second half of last year, you had the launch of Simmons in the back half of the year and we had ancillary revenue in Degree segment from COVID-related activities, where we were helping other partners. Those are two things that create tough comps on a year-over-year basis. And then the last point I'm going to make is more of a historical big picture point. If you look back at the historical trends of 2U, the fourth quarter back half of the year used to be a generally higher half for us simply because we launched a large number of programs within a given calendar year that would generate revenue in that back half of the year. Our launch cadence as you know has been reduced in the last two years, which would have more of a flattening or more of a leveling or slightly up back half of the year instead of the unusually high back half of the year that you've seen historically.  So those are three points that I would make, but the bottom line is the degree business is very well positioned. We have great university partners. You saw with the recent announcement we're still having strong demand there. And we expect that business to continue to do well even as we enter 2022. 
Operator: And there are no further questions at this time. I'll now turn the call back over to management for any closing remarks. 
Chip Paucek : Thank you very much, everyone. We look forward to talking to you about the story out on the road. 
Operator: And this concludes today's conference call. Thank you for participating and you may now disconnect.